Operator: Ladies and gentlemen, thank you for standing by, and welcome to the comScore Third Quarter 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now like to hand the conference over to one of your speakers today, Mr. Christopher Ferris, Director of Investor Relations. Sir, please go ahead.
Christopher Ferris: Thank you, operator. Before we begin our prepared remarks, I'd like to remind all of you that the following discussion contains forward-looking statements. These forward-looking statements include comments about our plans, expectations and prospects and are based on our view as of today, November 9, 2020. We disclaim any duty or obligation to update our forward-looking statements to reflect new information after today's call. We will be discussing non-GAAP measures during this call for which we have provided reconciliations in today's press release and on our website. Our actual results in future periods may differ materially from those currently expected because of the number of risks and uncertainties included those related to the COVID-19 pandemic and its economic impact. These risks and uncertainties include those outlined in our 10-K, 10-Q and other filings with the SEC, which you can find on our website or at www.sec.gov. I'll now turn the call over to comScore's Chief Executive Officer, Bill Livek. Bill?
Bill Livek: Thank you, Chris, and thank you, everyone, for joining us today. Let me begin by addressing our strategic review. On our last earnings call, we committed to an announcement by today, our third quarter earnings call. While we cannot report a definitive agreement, I'm pleased to say that we are in advanced discussions with respect to a recapitalization transaction with an anchor investor. If consummated, the transaction would result in a significant reduction in our outstanding debt, enhance our balance sheet, and liquidity profile. In addition, the transaction will provide for an enhanced commercial relationship to support our growth initiatives. Our management team, Board and financial advisers continue to work diligently toward a conclusion. However, we cannot provide assurances regarding the timing or the outcome of this process and do not intend to provide additional updates until we determine further disclosure is necessary. We also will not be able to answer questions about this beyond what is in our press release from this afternoon. We appreciate the patience and the trust of all of our stakeholders who have all exhibited a great strength through this process. Now let's turn to the quarter. Again, I want to applaud our outstanding employees for their continued dedication despite the strain from the pandemic. I thank them for their efforts, and I'm proud to represent them on the call today. Our business, particularly movies, continued to be impacted by the pandemic in the third quarter as revenue generation fell short of our expectations. However, we saw positive signs across our business lines. Our television business performed well in the quarter, with National TV and addressable growing by double-digit percentages year-over-year. We gained momentum with advertising agency clients who are increasingly embracing our advanced audience metrics and rallying around our local market currency. Our local business remains strong, and we continue to add to our roster of clients. One example is our progress in signing Pinnacle Advertising, who will be using comScore exclusively for buying for major advertisers who spends millions of dollars in TV advertising. Our core digital services stabilized with a strong quarter from our technology vertical, where we signed new logos, and we renewed 100% of our enterprise-wide clients. We believe this trend will continue in 2021. I'm also pleased to say that in the third quarter, we generated $7.3 million in adjusted EBITDA, which is our second best quarter since the merger of Rentrak and comScore. Through the nine months of 2020, we have recognized $22 million positive swing in adjusted EBITDA compared to 2019 due to our financial discipline demonstrating that we are well positioned when the pandemic-related impact eases. Greg will go into more details on the financial review later in the call. Now I'd like to discuss how we're positioning comScore to win the future of media measurement and drive revenue growth in 2021 and beyond. A few weeks ago, we announced a number of key advancements in our cross stream measurement of capabilities. We have pivoted to a forward looking to forward-looking approach to an audience and impression based currency. Based on our groundbreaking solutions and enhanced advertising, outcome based attribution, and exact commercial ratings including our global leadership solutions in this cookieless world. I'd like you to walk you through this plan and explain how we believe we will drive long-term value for our media industry partners and, of course, our shareholders. As we head into 2021, we are at an inflection point in media and advertising with the pandemic accelerating the velocity of change in the media landscape. This year, we've seen dramatic changes to media consumption behaviors, including increased streaming, gaming, digital spending, mobile shopping, just to name a few. And as media content, particularly video, becomes increasingly cross-platform in nature, media buying and selling is shifting away from traditional age and gender demographics and gross rating points to audiences and impression-based measurement. This trend is a positive for comScore as we have been the impression-based currency in digital for many years, have been providing advanced audiences for TV for more than a decade. These rapid changes require consistency and measurement across the premium video footprint from linear to digital to OTT. It's what our customers need from us in this new landscape. The traditional approach of just using age and gender demographics simply does not meet the advertisers' needs. And they need to understand the de-duplicated reach of their advertising spend to inform their decisions. comScore has had the foresight to address this new approach, having built a currency designed for this new era. Impressions, just not an average rating, will be used to evaluate success by planners and buyers regardless of where the content and new advertising are viewed by consumers. We call this new impression-based currency that leverages our unmatched advanced advertising insights exact commercial ratings, a solution that is already available as a television currency in the local, national and addressable marketplaces. It's important to remember that ComScore's media measurement solutions are made possible by our massive data footprint of hundreds of millions of connected devices, 60 million set-top boxes, 12 million smart TVs, 150 million video-on-demand screens, 177 million desktops and 230 million plus mobile devices, plus our strong digital panel. We have spent nearly two decades building this infrastructure. No one else has the experience or has built a machine like comScore has to provide a comprehensive level of media measurement across devices. This year, we have worked to perfect a national addressable advertising solution for this new media landscape. Our measurement provides impressions for national programmer minutes across the largest MVPDs, along with connected TVs, to provide the deepest well of information to measure national addressable ad inventory. This MVPD connected TV centric approach enables measurement for more than 50 million households, by far, the largest footprint of addressable homes. We expect to operationalize this first independently measured national advertising system for buyers and sellers of addressable ads in 2021. This will allow advertisers to use a common impression level metric for national addressable inventory that also reconciles with non-addressable minutes and improves accountability across the ecosystem, as traditional average commercial ratings become less important. The demand for the addressable market is growing fast, representing a greenfield opportunity for ComScore. We believe we have a unique first-mover advantage to capitalize on this in the upcoming quarters. This quarter, with an eye toward cross-platform solutions, we expanded our connected TV measurement footprint with an agreement with Samba TV, one of the leading cross frame data measurement companies in TV, providing information globally to us. Smart TVs are a piece of the data puzzle. And the addition of Samba to our portfolio of connected TV partners strengthens our cross-platform measurement capabilities and expands our footprint, helping brands better quantify the impact of their advertising efforts across platforms. The launch of international Connected TV measurement will begin in European markets where we already have new customers with an aggressive expansion plan over time. comScore's commitment to innovation continues with the rollout of new solutions to our customers. As we noted in a press release a few weeks ago, we expect to launch an array of new and enhanced products in 2021, including the integration of over 10 million additional households into our measurement footprint for ComScore TV, our local and our national cross-platform solutions, our national addressable solutions that will build on our local capabilities. The leading edge first-party privacy focused solutions per cookieless world and our outcome-based attribution product with LiveRamp. The motivation for these new products is clear. The growth of premium video across the ecosystem demands more accountability and better tools to monetize inventory. comScore's connected TV contextual activation solutions for both on-demand and live streaming allow clients to increase their monetization through enhanced direct sales, open exchange and programmatic sales. This focus dovetails with our LiveRamp partnership to develop new and innovative privacy focused services across the advertising ecosystem. Last month, we unveiled our next-generation outcome-based measurement, Data Plus Math map powered by comScore. This new offering marks the first go-to-market milestone with our expanded LiveRamp partnership to develop new and innovative services for the advertising ecosystem. Our partnership is already generating revenue, and we look forward to collaborating with them on additional projects in the coming quarter. I'd also like to remind you with the progress we're making with our expanded local TV offerings. As we look into 2021, we see three key drivers of growth for local. It's the Comcast data integration, which is on track for implementation by the end of this year, providing us with an unmatched measurement service, hovering over 70 million TV sets. QuickScore, providing viewership insights within 24 hours in the top local markets, the top 50 local markets, this product is available now and being met with excitement from our customers. And number three, ComScore's consumer intelligence for local markets or CCI, a new solution that ties local shopping behavior segments to TV viewerships and category-specific segments in near real time. We expect CCI to be available by the end of the year. We expect all three of these enhancements to generate incremental revenue growth for us beginning in 2021. We also continue to invest in research and development for cross-platform measurement. During the quarter, comScore was awarded three new U.S. patents, one for household device identification, one for device co-location identification, and a third for household viewership aggregation. These achievements highlight our commitment to develop and enhance cross platform measurement solutions. Our IP portfolio now includes more than 70 U.S. patents and underscores our privacy conscious TV and digital product innovation as part of a comprehensive roadmap for delivering superior measurement in a cookieless world. I would like to take this as an opportunity to highlight a greenfield measurement opportunity for comScore in gaming. Gaming has been trending upward as a percentage of media usage for years and has seen a remarkable shift in eSports gaming, live streaming behaviors during the pandemic. Total ad spending and partnership of eSports increased over 40% over the past three years. Time spent viewing, videos on desktops, has increased nearly 200% over the past three years. comScore has a unique opportunity and ability to measure gaming, live streaming audiences. Earlier this year, we announced a partnership with Twitch to deliver live streaming audience measurement for eSports gaming and enhancing the advertiser's ability to understand the vertical. Expect to hear more from us in the future about our gaming offerings. I'd like to take a moment to address our movie business. Movie continues to be impacted by theater closures globally but we are seeing positive signs. In China and Japan, as an example, new releases are delivering large box office numbers. The industry clearly is not back to normal, but we believe it's not going away. We are the leader in box office measurement, and we believe the business can return to prior levels when the pandemic ends, but we think it will take us 12 to 18 months to get there. Finally, I'd like to note the recent successes with customer renewals and wins across our product suite. This quarter, we secured new business with News Break, Nextdoor, World Surf League, Raven, Truex for digital. And we expanded our relationship with Graham Media Holdings and Weigel Broadcasting for local TV. We secured an expansion with ESPN for the ACC network and also renewed the SEC network. We had an inspiring quarter with our agency vertical. Canvas Worldwide, you might know them better is the agency for Honda and Kia Motors, expanded its national TV use cases with our solutions. For on-demand, we secured a renewal with STX Entertainment. Additionally, I'd like to highlight our exclusive currency deal with the Pinnacle agency, a major independent agencies, representing WeatherTech and other large advertisers that signed and will be switching in January 2021 to exclusively using ComScore TV ratings. We also launched our advanced streaming behavioral segments in the true optic marketplace for our activation products, and our movies business secured renewals with a number of clients even during the pandemic. To wrap up, it was a solid quarter with customer wins and renewals, and we are excited for 2021. We are relentlessly innovating, developing new measurement products and services while forging new relationships across the advertising ecosystem. Now I'd like to turn the call over to our Chief Financial Officer, Greg Fink. Greg?
Greg Fink: Thank you, Bill. Today, we reported third quarter revenue of $88 million compared to $94.3 million in the third quarter of last year. Revenue from ratings and planning in the third quarter was $62.7 million compared to $65.3 million reported in the third quarter of last year. The decrease continues to be primarily from our syndicated digital products. While enterprise customer renewals continue to be strong, syndicated digital revenue declined year-over-year, representing 48% of our ratings and planning revenue in the quarter compared to 51% in the third quarter of 2019. However, sequentially, syndicated digital was down approximately 1%, as we continue to sign new contracts from the exit of some competitors. National TV revenue was higher compared to the prior year as we realized revenue from LiveRamp. Revenue from analytics and optimization in the third quarter was $17.4 million compared to $18.3 million in the third quarter of last year. The decrease was due to lower custom digital marketing Solutions revenue compared to the third quarter of last year and was in part offset by higher activation revenue. Movies reporting and analytics revenue in the third quarter was $7.8 million compared to $10.7 million in the prior year quarter. Revenue continues to be impacted by ongoing theater closures as a result of the pandemic. While the timing of theaters reopening at scale is uncertain, we do expect theater closures to continue to have an impact on movies revenue. Turning to operating costs. Our core operating expenses, which includes cost of revenues, sales and marketing, R&D and G&A declined over $10 million year-over-year for the quarter. The significant reduction in operating costs relates to the actions we implemented throughout last year and further reductions we took in 2020. Cost of revenues decreased by $900,000 in the third quarter compared to the year ago quarter due to lower headcount and professional fees. Selling and marketing expense declined $3.3 million as compared to the year ago quarter, and R&D decreased $4.6 million from staffing reductions and decreases in most areas of our cost base. G&A expense for the third quarter decreased $1.9 million compared to the prior year quarter from lower headcount and professional fees. We do expect our costs to rise from these levels as we continue to expand our product offerings. Additionally, in the third quarter of 2020, we began to focus our hiring efforts to expand our capabilities in regions outside of the U.S. Over the long term, this will allow us to increase headcount to support the growth initiatives we've been putting in place throughout the year while continuing to maintain our focus on cost. However, in the short term, we expect to have an increase in compensation expense as we work through this transition. In the third quarter, we reported a net loss of $11.1 million compared to a net loss of $10.6 million in the same period last year. For the third quarter, adjusted EBITDA was $7.3 million compared to $6.4 million for the same period last year. Despite the business challenges from the pandemic and lower revenues, we have generated nearly $23 million in adjusted EBITDA through the first nine months of 2020 compared to less than $1 million for the first nine months of last year. We ended the third quarter with total cash of $51.8 million compared to $66.8 million at December 31, 2019. The decrease in cash was primarily a result of cash interest payments. Looking forward, we expect revenue to continue to be impacted by ad spending in movies. We are optimistic that new agreements and partnerships we have signed during 2020 will benefit us in the near and long term, particularly if the economic headwinds abate. However, we remain cautious about revenue growth until we have better visibility into ad spending and theater re-openings. Now, let me turn it back to the operator to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Laura Martin with Needham. Your line is open. Please go ahead.
Laura Martin: So maybe a couple. I remember Rentrak used to have big political quarter, so I'm wondering what you think the political advertising is in 3Q and maybe 4Q to date for comScore? And then secondly, one of the things -- I'm also wondering, Greg, for you, how much of Comcast costs will end up being in this year because I know that revenue delays? So how much cost are we eating to integrate Comcast in this fiscal year whereas we won't see the revenue probably until next year?
Bill Livek: Thank you, Laura. I'll start out with political, and then I'll hand it over to Greg on the cost question. Political was clearly an unusual year. The Democratic primary started out what I would call "normal" where the candidates we're looking for our segments for highly targeted TV. Then the throws of the pandemic happened, political advertising pretty much stopped. And then toward the end, you basically had both candidates not doing targeted media. They were just doing carpet bombing, what I would call, and there wasn't a lot of targeting going on. But I think what we saw was this seat change setting us up for future cycles in the off presidential cycle and the presidential cycle. As voters got used to an extended voting period of time, there is not enough money to be -- in my opinion, to cover that long period of time. So candidates will revert back to highly targeted in the future, I believe. But this year, political for us was softer than we had anticipated, even though it was important. Greg, on the Comcast question, please?
Greg Fink: Yes, Laura. Thanks. Appreciate it. And I know that -- I think we've shared before that we don't speak specifically about contracts. But what I will say, I think we've shared this before, we are expensing Comcast in 2020. So we've done that since Q2 when we began the integration. So when you think about it on a comparable basis moving forward, 2021 would have similar, obviously, it will be a full year, cost of those that are already embedded in the 2020 run rate. So I think the long and short answer is, we don't provide specifics. I think you have some estimates but 2021 would have a similar run rate to the run rate we're seeing today.
Operator: Thank you. And our next question comes from the line of Matthew Thornton with Truist Securities. Your line is open. Please go ahead.
Matthew Thornton: I came on a little bit late, so I apologize if I missed any of this. Maybe first question, just around digital housekeeping, digit mix, as a percentage of ratings and planning, any update there? And just, I don't know, maybe it's for Bill, but digital comp, we've talked about that stabilized around the hope that that would kind of stabilize as we look forward, just kind of any latest thinking there? Secondly, in the strategic update that you guys put out this afternoon, you talked a little bit about enhanced commercial relationships with this particular potential anchor investor. I'm kind of curious if you could put any more meat on that or any more color around what that might mean without getting into specifics about the partner, obviously? And then maybe third, just any color on -- you talked about revenue growth, remaining a bit cautious. I'm just curious 4Q is typically a good sequential quarter. I'm just wondering if you'd be willing to give us any thoughts about how we can think about modeling revenue in the 4Q here.
Bill Livek: Well, there's a lot there. On the strategic review, that one's easy. We can't say anything more than is in the press release, but thank you for the question. On digital, we're seeing what we have predicted, the bottoming out. We had 100% renewal with our enterprise-wide clients that we believe will continue into 2021. Our digital service, we believe, has a lot of potential out there because of the increased focus on privacy. So we are excited about that, the sequential process that we are seeing. Greg, do you want to take the other questions that Matt had?
Greg Fink: Sure. Let me just say Matt, if you missed it, 48% for ratings and planning this Q3 versus 51% last Q3. I think the thing to point out is from Q2 to Q3, syndicated digital was down about 1%. So we're starting to see the flattening out that we expected. As you know, as we sign clients, it takes time for that revenue to come into the stream for a full quarter. So we are starting to see that stabilization, as Bill pointed out, but Q4 is a large quarter for us as far as contract renewals. And we're looking for that follow through that we saw in Q3. As to your last question around Q4 revenue, you're correct. Q4 tends to be one of the best quarters of the year for us, tends to be typically higher due to the analytics and optimization projects that happened there. And while we're not giving any guidance because of a fair amount of uncertainty in ad spending in areas like activation and whether or not we'll have all of those projects, certain things earlier in the year were held back. I do expect that things are returning. You'll see that some of those projects that are recurring, we expect to occur in the fourth quarter.
Operator: Thank you. And our next question comes from the line of Alan Gould with Loop Capital. Your line is open. Please go ahead.
Alan Gould: Hi, Bill. Hi, Greg. Two questions. First, what impact do you think IDFA is going to have on your business? And the second one is with respect to this new pivot on cross-platform measurement, when do you think we'll start seeing revenue coming out of cross platform?
Bill Livek: Well, the IDFA first, it's going to have an impact on the industry. We think that we're positioned well because of the data assets that we have, including our panel in digital. So we're optimistic there that our solutions that we're working on and we'll talk about them more in the future, are the right solutions. In terms of cross platform, in 2020, we've been laying the groundwork here to have a -- to capitalize on the impression-based, audience-based piece of the puzzle. We think that this is going to shipped away from C3 to C7, C28 days, that, that is no longer -- will be less relevant in the future. I won't say not relevant, but a lot less relevant. And we believe that we're set up perfectly because of our census approach to capitalize on revenue in 2021 there.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Richard Kramer with Arete Research. Your line is open. Please go ahead.
Richard Kramer: A very quick one on the strategic partner and maybe this is something you can answer. Is this going to be the same investor you had before or change given that you had so many issues with the previous or the existing investor? And then my two sort of fundamental questions, the first one is. You talked about growth in local, national and addressable TV. Given the pressures that TV has faced this year, and your main rival claiming to have revenue secured on multiyear agreements, do you expect there could be a round of retendering of measurement deals and that there's going to be more up for grabs? Or do you think this is a year where I think as you're implying in your Q4, that there may be some restrictions on variable spend going into next year? And then alongside that, you talked about the new product pipeline for next year. And usually, when companies come out with a new product pipeline, they have to go into a long sales cycle for it. How do you think about your sales and marketing expense next year? Is that one of the reasons behind the finally resetting the investment profile for the Company so that you can go out and sell those products in the market? How do you think about margins next year?
Bill Livek: I'll let Greg take the financial ones, but the top one that you had on the strategic review, as I appreciate the question, we cannot comment further than what is in the press release. If you -- your second question was about contracts being opened up with pressure in advertising. As I've said before on previous quarterly calls, there's a number of great attributes about our business on the syndicated business. One is, oftentimes, we have long-term contracts. And also in a downturn, the sellers have to sell harder. And being in the information business is a good place during a difficult economic period. So, we're optimistic as we look forward to it. The investment that we made in our local and national product, with the addition of Comcast that will be done by the end of the year, is going to give us unprecedented coverage with the advanced audiences along with those impressions that ad agencies want. Ad agencies using us as a precursor to more stations and more media companies utilizing us, I cannot overemphasize the importance of Pinnacle. You would know them better as the WeatherTech ads that you see on television, switching to us exclusively. Why are they doing it because we have a service that fits where they're going, Canvas that has Honda and Kia, they look at our information being helpful on the national side of understanding outcome-based through a variety of products there. So on the cycle that we're looking at for sales and marketing that process has already started. But any more specifics, I'll turn it over to Greg on expense.
Greg Fink: Yes, I think you talked a little bit about the sales cycle. What I would say is, these solutions have been being developed over the course of the entire year. And our sales staff is pretty adept of what they're going to be in having those conversations already. So those things are already in the works as we look to integrate the Comcast data, we've been talking about that now for some time now. So, I think people are all getting up and geared up for that as we're working towards the end of the year and into 2021. So we feel good about that. On the cost side, the sales and marketing cost side, I think we are focused on cost, as we always have, but I do think we understand that there will be incremental costs associated with doing this. But I think that the incremental revenue that we think that we will generate and that we expect to generate. And while we've given no guidance, we obviously believe that these enhancements will provide significant benefit to the bottom line as we move through 2021.
Richard Kramer: Okay. And maybe just one last sort of housekeeping one. Can you give us a sense of the contribution from Data Plus Math this quarter? Just how much was that? And is that expected to ramp considerably? Is that one off? Or is that ongoing?
Bill Livek: Greg?
Greg Fink: Yes. I mean, we don't provide specifics around any one specific product or solution. What I would say is that, as Bill mentioned, we're excited about that relationship. It's generating revenue. We think there's opportunities for us as we move forward to continue to enhance that.
Operator: And I'm showing no further questions at this time. And I would like to turn the conference back over to your CEO, Bill Livek, for any further remarks.
Bill Livek: Thank you, operator. We remain excited about the future as we manage through this unprecedented period. I'm pleased with the progress that we made as a company in 2020 despite all the challenges that we've talked about. On behalf of myself and our entire comScore team, I'd like to send a heartfelt best wishes and thank you to our front-line workers in this pandemic, including first responders, health care workers and essential employees. Thank you, operator, and thank you, guests and investors for joining us today, and we look forward to sharing our progress and results in the coming quarters. Thank you for joining today.
Operator: Ladies and gentlemen, this concludes today's program. Thank you for participating. You may now disconnect.